Operator: Good day, ladies and gentlemen, and welcome to the AngloGold Ashanti results. [Operator Instructions]. Please also note that this conference is being recorded. I would now like to hand the conference over to Stewart Bailey. Please go ahead, sir.
Stewart Bailey: Thanks, Dylan. And, everybody, welcome, to our Q3 results call. We've got a lot to get through today. So without much further ado I'm just going to read the Safe Harbor Statement, then give you the lineup of what to expect. Certain statements contained in this document, other than statements of historical fact including, without limitation, those concerning the economic outlook for the gold mining industry, expectations regarding gold prices, production, cash costs, all-in sustaining costs, all-in costs, cost savings and other operating results, return on equity, productivity improvements, growth prospects and outlook of our operations, individually or in the aggregate, include the achievement of project milestones, commencement and completion of commercial operations of certain of AngloGold Ashanti's exploration and production projects and completion of acquisitions and dispositions, AngloGold Ashanti's liquidity and capital resources and capital expenditures and the outcome and consequence of any potential or pending litigation or regulatory proceedings or environmental health or safety issues, these are forward-looking statements regarding AngloGold Ashanti's operations, economic performance and financial condition. These forward-looking statements or forecasts involve known and unknown risks, uncertainties and other factors that may cause our actual results, performance or achievements to differ materially from the anticipated results, performance or achievements expressed or implied in these forward-looking statements. Although we believe that the expectations reflected in such forward-looking statements and forecasts are reasonable, no assurance can be given that such expectations will prove to have been correct. Accordingly, results could differ materially from those set out in the forward-looking statements as a result of, amongst other factors, changes in the economic, social and political and market conditions, the success of business and operating initiatives, changes in the regulatory environments and other government actions, including environmental approvals, fluctuations in gold prices and exchange rates, the outcome of pending or future litigation proceedings, and business and operational risk management. For a discussion of these factors, refer to AngloGold Ashanti's annual report on Form 20-F for the year ended December 31, 2013 filed with the US SEC on April 14, 2014. These factors are not necessarily all of the important factors that could cause our actual results to differ materially from those expressed in any forward-looking statements. Other unknown or unpredictable factors could also have material adverse effects on future results. Consequently, you are cautioned not to place undue reliance on forward-looking statements. We undertakes no obligation to update publicly or release any revisions to these forward-looking statements to reflect events or circumstances after the date hereof or to reflect the occurrence of unanticipated events, except to the extent required by applicable law. All subsequent written or oral forward-looking statements attributable to AngloGold Ashanti or any other person acting on its behalf are qualified by these cautionary statements. This communication may contain certain non-GAAP financial measures. We use these measures and ratios in managing our business. Non-GAAP financial measures should be viewed in addition to, and not as an alternative for, the reported operating results or cash flow from operations or any other measures of performance prepared in accordance with IFRS. In addition, the presentation of these measures may not be comparable to similarly titled measures other companies use. We post this information important to investors on the main page of our website at anglogoldashanti.com, under the investors tab. It's important, you should read it. Today, Venkat is going to kick off with opening remarks, some highlights for the quarter and just a reflection on some of the self-help measures that will be articulated throughout the presentation in terms of deleveraging. That will be followed by Ron talking about the international operations, Mike talking to the South African operations, Graham to our projects and some exciting exploration results. Christine with then talk the financials and Venkat will sum up. Venkat?
Srinivasan Venkatakrishnan: Thank you, Stewart. Good morning, ladies and gentlemen. I'm sure you all have a copy of the slide show before you, so I'll be referring to the slides as we go in the presentation. Starting off with what should be slide number 4 in the pack, which you have before you, recapping on our strategy that we articulated, which we articulated in – every time when we present our quarterly results. Five building blocks towards sustainable free cash flow from a diversified quality portfolio. Firstly, the foundation, in terms of ensuring that safety remains our first value, retaining the good people and ensuring that our sustainability record improves. Secondly, proactively ensuring we have the financial flexibility that we need to implement the strategy. Third, optimizing all forms of expenditures, whether it's direct costs, overheads, exploration or capital expenditure. Fourth, improving the portfolio quality and sweating the assets harder. And finally, despite short-term priorities which the industry face, reminding ourselves constantly that mining is indeed a long-term business, and keeping optionality within the business open to help us improve returns over the longer term. With those introductory and contextual statements, if we can then move onto slide number 4, which gives you your third quarter highlights. Looking at our third quarter's results it's the seventh consecutive quarter of strong performance despite incredible headwinds in the sector. As you will see, we've beaten our guidance, our previous year performance and our prior quarter's performance on most if not all of the metrics. During the quarter, safety was a standout performer and more of it shortly. If we can look at some of the key numbers in terms of our third-quarter results, production despite the setback from the earthquake at the Vaal River operations, which we alluded to, and not having Navachab mine, because we sold it in the second quarter of this year, we are 8% ahead year on year, 5% ahead of our guidance and 3% up on last year. In terms of total cash costs, we are 6% better than guidance, 2% better than the previous quarter despite SA wage increases and inflation, and little change year on year. And we'll come onto that bit when we look at the table on the next slide. Our all-in-sustaining costs are down 10% year on year. All-in costs are down 19% year on year. We've been free cash flow positive for a third quarter, after all expenditures. We define free cash flow is after all outgoings including interest, taxes the whole lot. Despite lower gold price and earthquake related losses, net debt to EBITDA has improved marginally. And we have declared a significant maiden resource at Nuevo Chaquiro. Graham will talk to this point. And we are excited about this new find that it will open up a pathway to monetize some value from our Colombian portfolio, given it's a copper/gold/molybdenum deposit in Colombia. And Christine will elaborate that we have actually improved our annual guidance across various metrics. And we have brought forward some of the cost savings schedule in 2015 into 2014 already. Now moving onto slide 6, there is a very simple table that shows what the team at, AngloGold Ashanti have, been able to deliver quarter on quarter. Our two strongest headwinds remain the gold price and inflation across the 11 countries in which we operate. Notwithstanding these headwinds, we've been able to pull every lever within the business and deliver improvements and importantly both nominal and real cost reductions. Here, full credit to Mike and Ron on the production and cost performance across the Group, to Graham and David and their team at Obuasi in terms of what they've been able to achieve, and to Italia and Ria in terms of what they and their teams have achieved in terms of corporate costs and overhead reductions. Looking at some of the numbers there, gold production up between 8% and 14%, our cash costs are down 6% on a year-to-date basis. They went up marginally by 1% between year on year when you look at the quarter. It is largely driven by the fact that South Africa did not have the benefit of the full production given the earthquake. We've also seen inflation come through, and we have had around roughly $40 to $45 an ounce go through this quarter, because we have drawn down on mining stockpiles which are carried at a cost higher than our current average cash costs. So consequently you see that come through. But nevertheless, it doesn't impact cash and we are generating free cash. In terms of overheads they are down by between 43% to 59%. Similarly exploration and evaluation costs. Capital expenditure down by close to 50%, all-in-sustaining costs down between 10% and 17%, all-in costs down between 19% to 26%. And you've got to bear in mind when you are comparing the third quarter of this year to third quarter of last year we already started implementing a number of improvements in the second and third quarter of last year. So we are comparing those metrics against what we had previously achieved in terms of reductions and cost savings, trying to improve on what we have done already. What that means, it translates into an improvement in EBITDA and an improvement in free cash flow as compared to the cash burn rate on a year-to-date basis same time last year. Moving onto safety, in terms of slide 7, in today's presentation this is our proudest slide. And I urge you to take a few moments to look at it, taking into account that a number of our operations generally have – where our colleagues have to work in very challenging circumstances and rock conditions. We do not like bragging about safety very much, and if I can start off with one piece of news which we had. Unfortunately just on Friday just gone, Friday October, 31, it's outside the third quarter, after 3.7m fatality-free shifts, I repeat 3.7m fatality-free shifts, a record for any South African deep underground mine, after 1,062 days or two years and 11 months without a fatality, we unfortunately lost one of our colleagues, Mr. Pontine a fall of ground accident last Friday at Kopanang. Mike spent the weekend at the mine, and I spent Saturday at the mine reviewing what happened and learning from this incident. And we are, of course, saddened by the loss of our colleague because one fatality is one fatality too many. And as you can see, we have actually improved the performance. And this is an unfortunate event from which we will continue to learn. Having said that, this should not deter from the fact that we have had one of the record-breaking performances when it comes to safety, and what the team in AngloGold Ashanti has achieved in this area of the business have been truly remarkable. And what the operations and the safety teams under the leadership of Mike and Ron, Graham and David have delivered with every support they could get. And here full credit goes to every employee and contractor who has worked at our mines to ensure that we have delivered some of the ground-breaking records. To name a few, this is our fourth fatality-free quarter in the third quarter, third quarter just gone, it's the fourth ever fatality-free quarter across all of the operations in the business. This is the first time we have had two consecutive fatality-free quarters in AngloGold Ashanti's 16-year history. This was the longest period i.e. 224 days in AngloGold Ashanti's history without a single fatality, and both on the international side of the business and on the South African side Ron, Mike and the teams have broken and created new records across of the mines. So, moving onto slide 8, focusing on deleveraging. And in terms of self-help measures, you'll recall on September 15, we withdrew the proposed separation of the business and the concurrent rights offer which was largely dictated by the structure around the proposed separation. That proposal is off the table. We have been proactive in managing our balance sheet. And in that regard we have long-dated maturities, the first bond maturing in 2020, significant liquidity and covenant headroom. The graph on the – on slide 8 on the left-hand side, clearly shows where we sit relative to the peers, slap-bang in the middle of the distribution when it comes to net debt to EBITDA metrics. Christine will articulate our aspirational medium-term deleveraging target, which we feel is appropriate as a prudent management team. And in this regard, we are cognizant of shareholders' feedback on dilution. We got that message loud and clear in terms of our interactions with our shareholders. And we are therefore prioritizing a range of self-help measures to bring the leverage down in the medium term. And as part of this, and I'll cover this on the next slide, as part of this we may also consider the sale or joint venture of one or more operating assets for value in that regard. Looking at the range of self-help measures on slide 9, Mike will cover in his presentation, we are in the process of consolidating the South African footprint from five mines and two surface operations into three entities to capture a range of operating synergies. And he will talk to that in a few moments. Then the numbers across our operations, particularly in the international arena, have shown what we can achieve by doing more with less. And Ron is excited about what he can achieve by getting the team challenge conventional cost structures within our international operations. In the third quarter of 2014, our all-in-sustaining costs year on year for the international operations dropped 13% to $973 an ounce. Notably, our Continental African operations dropped their all-in-sustaining costs by a fifth or 20%. He now wants to test the next step change in terms of this cost structure reduction. At the same time, Ron, Mike and Graham have started to review and scrutinize the life-of-mine plans to extract value using out-of-the-box thinking in terms of what can be achieved, particularly taking into account the current mining environment and what you can get out of potential suppliers and mining contractors. In addition to that, we've intensified the focus and this focus is ongoing within the business, on overhead cost management to further reduce exploration and corporate costs. And Christine will cover this in the outlook, where you will see we have pulled another $30m out of the system for 2014. To put it in context, we were $296m against this category in 2012. We pulled it down to close to $200m in 2013. We set ourselves a target of $120m to $140m in 2014. And we are going to come potentially $30m below that target. At the same time, we are exploring opportunities for partnership or for sale for value in terms of La Colosa, the recently published Nuevo Chaquiro, both copper discoveries, and also in terms of Obuasi. And what we are noticing is that we are already receiving reverse enquiries from parties who have the wherewithal to do the deals. And this will ensure that Charles, Ria and the executive team will have their work cut out for them for the rest of this year. And as I have said previously we are maintaining the option of looking at selling or joint venturing an operating asset or two if needed for value. With those introductory comments, I'm now going to hand you over to Ron to take you through the international operations.
Ron Largent: Thanks, Venkat. And good morning. I will take you through the quarter-three operating results for the Continental Africa, Australia and Americas region. I will not discussing each asset individually as they are within the quarterly report. I would like to first start on a comment on safety. The company's safety performance was covered by Venkat, but I want to re-emphasize our fatal-free quarter and the continued quarter-on-quarter improvements. We as management are very appreciative of the hard work the operating teams have shown in obtaining these milestones, but understand the commitment and work required to continue driving these outcomes. Each quarter, I've commented on the cost rationalization work and I've asked you to watch the outcomes on a quarterly basis. If we remember, the objective of this was to removal $500m from the operating cost over an 18-month timeframe, ending in quarter four 2014. I guess I'd like to say that we have achieved this one quarter early. The cost rationalization work continues and has a maintenance objective, meaning maintain the current cost structures and a cost removal objective, identifying additional cost extractions. We've now moved the efforts of the process into asset scheduling and efficiency improvements. A good metric to utilize to understand the overall health in the work is the all-in sustainable costs. For quarter three 2014, the international assets produced 813,000 ounces at $789 cash costs and all-in-sustainable costs of $973. As Venkat mentioned, this is a 13% improvement year on year, which is encouraging. We also believe there is more to be done, although we'll wait until early next year for our 2015 guidance. Slide 11, Continental Africa, the region produced for quarter three 410,000 ounces at a cash cost of $799 compared to 383,000 (sic see slide 12 "382,000") ounces at a cash cost of $804 for quarter three of 2013. The contribution from the Kibali mine and improved performance at the Siguiri and Iduapriem mine are the primary differences between year-on-year quarterly comparisons. Slide 12, this slide illustrates the drill program at the Geita East pit, which has confirmed high-grade mineralization beyond the limits of the current pit. As you can see, the intercepts are very encouraging at depth in the Geita East area. We will now use information like this and continue to drill to see if and how this may alter our extraction plans at Geita. Slide 13, the American region production for quarter three, 2014 was 251,000 ounces at a cash cost of $730 per ounce compared to 270,000 ounces at $656 per ounce for quarter three 2013. Production was impacted slightly at almost every operation in the region. There were no major issues, but sequencing and underground stope availability, a small geotechnical issue in an open pit and various other small items impacted grade delivery or timing of the material. I'd like to highlight next, slide 14, the Cuiaba mine in Brazil. This asset has been in operation for 28 years and produced approximately 5m ounces of gold. The current production rate is around 300,000 ounces per year through a 1.7m tonnes processing facility. The ongoing exploration activities are showing very promising results. The Cuiaba team has confirmed the down-plunge extension of the main ore bodies to level 24, or some 1,600 meters below the surface, and a narrow vein system to level 26, 1,750 meters below the surface. Additionally, satellite ore bodies near the Cuiaba infrastructure have been intersected from level nine to level 25. This confirmation of down-plunge extensions of existing ore bodies, and the intersection of satellite systems are exciting outcomes. The current mine activities are approximately 1,100 meters below the surface in the main ore body, level 16. Our outlook for the asset has been changing due to the successful mining method change, from cut and fill, to sublevel stoping where applicable, and the balancing of the narrow vein contribution to production from about 15% a few years back to 40% of production now. And the improvements to the rock mechanic controls combined with the before-mentioned exploration results, make Cuiaba – may make Cuiaba to have an exciting long-term future. This is an area of work to review the scheduling efficiencies that could change the mine's future productivities and outcome. Just a comment on the Serra Grande mine, the results from the drilling – from drilling the Inga ore body are confirming upside potential we anticipated when we purchased the 50% stake in this asset. As you can see from the intercepts, these high grade intercepts are similar to the Mina trace ore body which we've mined previously at Serra Grande which makes a significant difference to the outlook for this asset. We believe, or the initial indications are this Inga ore body will be included in the 2016 scheduling. Slide 15, the Australian region, production for quarter three 2014 was 152,000 ounces at a cash cost of $861 per ounce compared to production of 62,000 ounces at a cash cost of $1,270 for quarter three 2013. This improvement was primarily due to the Tropicana mine that was not in production in quarter three 2013. Sunrise Dam production was up 10% compared to quarter three 2013 due to recording a site record of underground mine production. Total ore tonnes mined from underground in quarter three 2014 was 616,000 tonnes. That rate is slightly better than the 2.4m tonnes per year objective. If you go to slide 16 on Sunrise Dam I'd like to make a few comments on that. Most people have been watching the successful operation of Sunrise over the past decade, and has the understanding that the asset was near end of life when the surface resources were to be exhausted. The Australian team realized that after the open-pit resources were exhausted in late 2013, they implemented and planned – an implementation of a systematic plan was assembled to understand the capability of the underground resource. The plan, although sounding quite simple, was to increase underground ore production to 2.4m tonnes per year initially and at a completely reduced mining cost. This entire year of 2014 was based on meeting the 2.4m-tonne-per-year mining rate, which has set a base for the planning of the longer-term objective of hitting a 3m-tonnes-per-year mining rate by the year 2017. What's remarkable about this achievement is that the current mining rates are being accomplished with only five haul trucks. The exploration of the Vogue ore body to depth will determine the life of the mine. This exploration is in process in the upper portion of the deposits. The intercepts are impressive and can be seen on this presentation. The future life-of-mine capability and production profile will be determined over the next one to two years that will set the stage for the future of Sunrise Dam. Thanks.
Mike O'Hare: Thanks, Ron. If I could give us an overview of the quarterly results for the South African region, let's start with the fact that production was affected by the earthquake. But good to say that the West Wits region, which is Mponeng and the TauTona mine worked really hard to offset some of those production impacts we felt as a result of the earthquake on the three Vaal River mines. That result, particularly at Mponeng, allowed us together with cost management to improve our cash cost to a credible number of $688 per ounce. I think at this stage, it's worthwhile commenting on why it's important to look at metrics for the South African region that measure dollar per ounce numbers rather than metrics such as dollar per tonne. Our assets are without exception narrow, high grade ore bodies, which generally means that what you want to do while you're mining is to decrease dilution as much as you can to increase the yield. As a result of working like this, you generally get lower costs, because you're mining less and you get more gold. Your mined gold factor is generally better, your production increases and of course you do have lower costs. So the regional objective is to actually increase the yield and reduce the dilution which effectively means you're mining lower tonnes. The surface operations during the quarter certainly faced a few challenges with some lower grades and mining volumes below what they have been over other quarters. We certainly have opportunities to improve the metrics there. And these are being implemented as we speak. We are not going to talk specifically about technology this quarter, safe to say that good progress with the production sites is being maintained. If I move over to the safety slide which we have included, Venkat has talked about the really unfortunate fatality we had October 31, which came at the same time that we had every single mining operation on or at more than 1m fatal-free shifts. I think the point of the slide is to show you what we have been able to achieve over quite a long period of time and certainly we will be working hard to emulate those kinds of results going forward in order to prove that the results we have achieved so far were because of good management, good systems, good leadership and not just because of luck. If I move to what Venkat talked about the next slide, which should be slide 20, trying to manage the region where you continually have over many years a reducing gold profile with increasing inflation, you can't keep cutting in the normal areas. At some stage you need to really look at the way the region is structured. We did this during Q2, and in particular we examined the productivity of the mine services organizations. And these are typically your financial services, your human resource services, geology and so on. And what we realized was that productivity of those areas had actually been dropping faster than what was recorded in the mining areas, which really means that we needed to restructure properly. We – analyzing it further, we realized we still had duplication between region and corporate, and our on-mine services on our smaller mines were just not appropriate given that their production had decreased. We will be clustering our production around our mines in the West Wits, formerly the Western Deep Levels mines, the Vaal River and our Surface Sources plants which treat hard rock or they treat our tailings facilities. So what we'll be doing is we'll centralize our on-mine services at a district level. We will decentralize our regional services to the same district level, which then allows our regional management to focus on regional issues. Essentially, this means that you remove a number of layers that you currently have and combine them into one at a district level. What it does not mean is that you affect the production people who are the direct operators at each and every mine. In fact, what you try and do is focus them on operating better, safer and more efficiently. If I move to the next slide part of this work is the integration of Moab Khotsong and the Great Noligwa mines. The Great Noligwa remnants and what's remaining in that ore body are profitable into the future if we mine them from the Moab infrastructure. And this is possible because the mines are linked on three levels, because Moab was mined and sunk originally out of Great Noligwa. And in fact, two-thirds of the remnants that are available still to be mined are actually closer to the Moab infrastructure than they are to the Noligwa infrastructure. That integration is well advanced. We've now moved all of the personnel expect for the shaft people from Great Noligwa to Moab. The management structures have been integrated and rationalize, and we expect the Noligwa shafts to be put on care and maintenance in June 2015. This allows us to probably increase the life of mine of Great Noligwa, and it certainly allows us optionality at some stage at Noligwa, as well. On your last slide, if we move to slide 22, some feedback on the mine life extension at Mponeng mine, which is a two-level deepening, accessing another 3m ounces of reserve, started in 2007, and we've spent to date about $300m. The infrastructure is currently being commissioned. The picture to the right shows you the materials monorail that's installed and operating. The chairlifts, which are installed to get people to the workplaces as quickly as we can are finished. Conveyor belts are running, both for reef and for waste, and the cooling has been installed. So largely we're now in the development ramp-up phase, and as you can see from the graph to the bottom right, we're starting to hit our targets on the development rates per end. Work now is in progress to increase the planned rates above what they are. Mining has begun, and we've started ledging on one of the rise lines in September already. We'll hopefully be able to provide a few visits underground to show the infrastructure that we've created in Q1 2015. With that, I'd like to hand over to Graham.
Graham Ehm: Thanks, Mike. Today, I'd like to cover our projects and greenfield explorations. Firstly, in regard to Obuasi on slide 24, the two charts in the slide show the progress for the transition to care and maintenance and progress with the feasibility study. The transition to care and maintenance is on schedule. Mining production and development has ceased, and stoping will cease shortly. Mill operations will continue through November, and wind down in December. Agreement with the union on the retrenchments has been finalized and is tracking to schedule. Despite the wind down, Obuasi had quite a good quarter, producing 78,000 ounces, with an all-in sustaining cost of $1,169. The activities that will continue in parallel with care and maintenance are declined development with a single jumbo, diamond drilling in priority areas and tailings treatment. The feasibility study is progressing well. This is a feasibility study into the reopening of Obuasi and the reconfiguration into a new operation. The resource model has been updated. Mine planning is now well advanced, and the surface and underground engineering is progressing well. We're on schedule to complete the feasibility study in early 2015. Turning to Kibali, you'd be aware of the challenges with the commissioning of the sulfide circuit in quarter two. In quarter three, good progress has been made in resolving those issues. Quarter on quarter, gold production has increased from 91,000 to 145,000 ounces on a 100% basis. Ore characterization and predictive geometallurgy has led to improved operation and recovery on the various ore types. This has enabled improvements in flotation, fine grinding and concentrate leach circuits. And having dealt with the various commissioning engineering issues, plant operations have been considerably more stable. And towards the end of the quarter, recoveries have improved to over 80%, compared with designed plan of 86%. The plan is still in ramp up, and further improvements are expected to be seen in quarter four. In regard to construction, process plant construction is now complete. The Nzoro hydropower station is operational at about 24 megawatts, and the Ambarau hydropower station is in construction. The paste fill plant will be commissioned early in 2015. Slide 26 illustrates the progress being made with the underground mine. The shaft sink is now at 676 meters and has reached the level at which load level development can soon commence. Decline development is progressing very well. Of particular interest this quarter is the development of the production levels for the 5110 and 5103 ore bodies illustrated in the diagram. Development of the fourth level has commenced, and cross-cut seam to the ore body has been achieved on three levels. So production is planned to commence before the end of this year. In regard to Cripple Creek, the mine life extension project, construction of the high-grade mill is now at 87% at the end of the quarter. Dry commissioning has now commenced, and ore commissioning is planned to commence by the end of this year. Construction of the valley leach facility is progressing well and is on schedule for commission in mid-2016. Turning to slide 28, in Colombia, we're very pleased to announce another significant discovery, this time, a high-grade polymetallic porphyry at Nuevo Chaquiro. Nuevo Chaquiro is situated in the Department of Antioquia, 60 kilometers southwest of the city of Medellin. The Nuevo Chaquiro project is a joint venture with B2Gold, with AngloGold Ashanti earning in and now holding 88.5%. The maiden inferred resource estimates for Nuevo Chaquiro is 604m tonnes at an average grade of 0.65% copper, 0.32 grams per tonne gold, 4.38 grams per tonne silver and 116 PPM molybdenum, for a contained metal content of 3.95m tonnes of copper, or 8.7b pounds of copper, about 6m ounces of gold, 85m ounces of silver and 70,000 tonnes of molybdenum. If you look at all of those combined metals combined at today's metal prices, it works out to an equivalent 23m ounces of gold. But note that 70% of the value of the resource is in copper. The minerals resource was tested for and found to have a reasonable and realistic prospect of eventual economic development. It represents a realistic inventory within a conceptual underground mine design, based on two lists shown in the document using a combination of block caving and panel caving. This resource remains open to the north and the south and at depth. On slide 29, the resources contained within a 0.45% copper shell, shown in blue in the diagram. An analysis of the distribution of grade shows a high-grade zone within a 0.6% copper shell on the eastern side of the deposit. This high-grade zone represents about 25% of the ore tons, containing approximately half of the metal, with a copper grade of around 1.2% and represents a high-grade option for the development of the deposit. In porphyry terms, copper at 1.2% is particularly interesting and particularly high grade. Metallurgical test work has demonstrated that the ore floats very well into a clean chalcopyrite concentrate with no penalty elements. Details of the Nuevo Chaquiro resource are given in a press release that accompany our quarter results today. Thanks very much, and I'll hand over to Christine.
Christine Ramon: Thank you, Graham, and good morning and good afternoon to everyone. It's certainly good to be with you on the call today for the first time as part of the AngloGold Ashanti management team, presenting my first set of results. As we heard from Venkat, management has continued to deliver on its predetermined cost and production targets, beating market guidance amidst a continuing challenging environment. Our focus remains on strengthening the balance sheet while prioritizing the generation of sustainable free cash flow from our diversified portfolio of businesses through proactive self-help measures. I will now talk in more detail through our quarterly and year-to-date performance, as well as our balance sheet debt focus, before I end on the improved outlook for quarter four and the full year. Moving to slide 31, our favorable trajectory on costs reflects continued discipline on all costs and fixed capital allocations. Overall, improved production levels, both on Q3 performance and the year-to-date performance have been assisted by operational efficiencies. In addition, a strong focus on the run of corporate costs and exploration costs has enabled the Group to deliver significant savings of 59% and 54%, respectively, in the year-to-date numbers compared to last year. Capital expenditure has been reduced by more than 40%, both in Q3 and in the year-to-date numbers compared to last year, reflecting project delivery and capital prioritization. Slide 32. Our efforts to tackle costs across a broad front continued to bear fruit, as reflected in the 2% decrease in our all-in sustaining costs, from $1,060 per ounce in Q2 to $1,036 per ounce this quarter, driven by lower operating costs and lower sustaining CapEx. There are timing differences in our stay-in-business CapEx spend that would result in increased spend in Q4. All-in costs of $1,144 per ounce compared to Q2 is 4% lower on the back of all-in sustaining costs and lower project expenditure due to timing and the scale down of Obuasi. Compared to Q2, the lower normalized adjusted headline earnings of $66m is impacted by lower gold income, mainly related to the lower gold price, inflationary increases, higher amortization and higher taxation, primarily relating to Brazil. This was offset in part by the weaker local currencies, lower royalties and the improved contribution from Kibali. Slide 33, in order to provide a better understanding of our underlying quarterly earnings performance, we have normalized our adjusted headline earnings. The major adjustments made in moving from our Q3 $2m adjusted headline earnings to our normalized adjusted headline earnings of $66m relates to operational and corporate redundancies of $36m, primarily as a result of our ongoing restructuring at Obuasi and closure and termination costs of $7m, which related primarily to Mongbwalu. The lower normalized adjusted headline earnings in Q3 compared to last year's results is again due to lower gold price and real inflationary increases, higher amortization and higher taxation. These were, again, offset in part by weaker local currencies and cost savings, as well as Kibali's contributions in 2014. All-in sustaining costs improved by 17% year on year to $1,030 per ounce. These cost improvements were made despite annual wage and power tariff increases. All-in costs of $1,144 per ounce for the year to date is 19% lower than last year, capturing the lower all-in sustaining costs and lower project expenditure relating to Kibali and Tropicana. Slide 34. Our balance sheet is highly geared and efficiently structured, with a strong leverage to the gold price. Our net debt level has increased between 2011 and 2013, given the investment in improving our portfolio as reflected in the $8.3b capital spend over the past five years. As reflected in the graph, we are focused on capital allocation, as reflected in the approximately 45% reduction in capital spend for the year to date in 2014, compared to 2012, when capital expenditure was at its peak. We have prioritized stay-in-business capital to ensure the sustainability of our business. Project capital includes Mponeng Phase 1, Kibali underground and the MLE2 expansion at CC&V, which will enhance the long-term optionality of our group, enabling us to deliver long-term shareholder returns. Moving on to slide 35, we have recently signed new RCFs for both our US dollar and Aussie dollar facilities for a further five-year period. The US dollar RCF is $1b and is currently undrawn. The Aussie dollar RCF has been reduced to AUD500m and is currently AUD355m drawn. We have finalized our rand RCF facility at ZAR1.5b to reflect the same terms as our US dollar and Australian dollar facilities. These facilities incorporate a looser covenant, with net debt to EBITDA now set at 3.5 times, with a one-period wave of up to 4.5 times, which is subject to certain conditions. The US dollar and Australian dollar facilities have also been priced more tightly, reflecting the current market. Our debt has long-dated maturities, with a spread of types of facilities and currencies enhancing flexibility and currency matching. The earliest bond maturity date is in April 2020, allowing the Company sufficient time to plan for the redemption. The high-yield bond issue this fall can only be exercised in mid-2016 at our discretion, thus allowing us sufficient time to fully explore our self-help measures before we decide how to proceed with this opportunity. We have both the full discretion and sufficient time in deciding how to use this opportunity, should we decide to go that route. During the month of September, Moody's released a rating action of AngloGold Ashanti following the annual review and reaffirmed our BAA3 rating, with a negative outlook. There was no change to our rating by S&P in the third quarter, which confirmed the rating of BB+ with a negative outlook in Q2. Moving to slide 36. We have sufficient facilities and headroom in our balance sheet to fund our ongoing operational requirements before and after downside sensitivities, within reason. Stronger operational performance, coupled with the refinancing of our banking facilities, has improved our financial flexibility. We generated free cash of about $30m, as Venkat indicated earlier, during the quarter, and have reduced our net debt by approximately $153m since the end of last year. Our net debt to EBITDA has improved from 1.86 times since the end of 2013 to 1.64 times at the end of September this year. Looking ahead to Q4, the net debt to EBITDA ratio is expected to deteriorate to similar levels as at the end of last year, taking into account that most of the Obuasi retrenchment payments, amounting to approximately $160m, are expected to take place in Q4, around December. In addition, there is a higher capital expenditure profile for the quarter, and Rand Refinery is expected to draw down on the loan facility to the extent of about $50m. Our covenant of 3.5 times net debt to EBITDA is based on a 12-month trailing EBITDA. We have therefore taking into account our EBITDA of $400m reported for this quarter, banked already 43% of our debt-carrying capacity as it relates to the June 2015 testing period. And that is based just on the first quarter's EBITDA, as I indicated, and we have three more quarters to make up the other half. Our medium-term leverage target is 1.5 times net debt to EBITDA. This is an aspirational target, and we'd certainly like to reduce our debt by approximately $1b to take us to our comfort threshold. Our aim is to achieve this debt reduction through a variety of self-help measures, as Venkat spoke to earlier. Quite importantly, is we're under no external pressure to achieve this, and this debt reduction can be achieved over the next few years. Moving to our final slide, 37, it talks to the outlook for the fourth quarter and for the full-year guidance. For the first time, we've improved our guidance in most metrics. Production is forecast to be 1.1m ounces to 1.14m ounces in Q4, and this is as a result of Obuasi's production winding down from this month. Total cash cost for Q4, expected to be between $800 to $820 per ounce, based on currency assumptions outlined in this slide. Importantly, our guidance for the full year has been tightened and improved, which takes into account a strong nine-month operational and cost performance. Annual production is expected to be between 4.35m to 4.45m ounces, and that is despite the impact of the earthquake and the reduction in Obuasi's production. All-in sustaining costs remains unchanged at our previous guidance of $1,025 to $1,075 per ounce, which reflects reduced CapEx and cost. Total cash cost guidance is $775m to $810 per ounce, and that is based on the assumptions provided, which includes the impact of a stronger-than-originally-anticipated average exchange rate. It's certainly worth noting that these costs are based on a weaker rand assumption than is currently prevailing, and this increase then would be mitigated by savings that we would achieve in other areas, ensuring that our all-in sustaining cost target remains unchanged. Venkat also spoke to the savings that we've achieved and banked in regards to corporate and marketing cost. And therefore, we have reduced our guidance to $100m this year, and we certainly can expect more to come on this front next year. Exploration costs reflect the additional savings despite ongoing investment at Nuevo Chaquiro and steady costs at Obuasi. And finally, the CapEx guidance has been reduced by some $125m to $1.25b to $1.3b range, and that is largely due to lower Obuasi CapEx and some further rationalization of CapEx across the Group. On that positive note, I'll hand back to Venkat to conclude.
Srinivasan Venkatakrishnan: Thank you, Christine. Ladies and gentlemen, just to conclude, needless to say, our share price today grossly undervalues our Company's performance to date and true potential. As you would have seen in the last seven quarters, we have proved every skeptic wrong in terms of performance, and to leave you with some important takeaways here, message one, you've seen record safety and sustainability performance from AngloGold Ashanti. That will continue going into the future. Second key message, operations are firing on all cylinders, delivering the seventh consecutive quarter of strong performance, despite every bit of headwind coming as a sector, helping to improve annual guidance across the board, and certainly this is the first time in my memory we have actually done that. The third key message is we have and we will continue to be proactive managers of our balance sheet, and in that regard, the fourth message is that we are cognitive of shareholders' feedback, and we have prioritized a range of self-help measures that we have articulated today to voluntarily reduce our debt in the medium term. And this, whilst we are doing it, we are focused on delivering real returns from the business to our shareholders. With that note, happy to hand you over to Stewart to take any questions.
Stewart Bailey: Thanks, Venkat.
Operator: [Operator Instructions]. Our first question comes from Andrew Byrne of Barclays. Please go ahead.
Andrew Byrne – Barclays: Hi. Good afternoon, gents. Two questions, if I may, and not really big-picture questions, unfortunately, but just more on continental Africa, when we look at some of the assets that you potentially may have been viewed as being non-core, the likes of your Iduapriem and Sadiola, how should we think about productions from them over the next 18 to 24 months? What's the current thinking? Will they still be in production in 2016? And then the second question is, just get an understanding of how sensitive Group costs are to the oil price. What is the delta on that?
Srinivasan Venkatakrishnan: Okay. Let me pick up the first question jointly with Ron in terms of what you call the – you termed it as non-core assets. With regard to Iduapriem, Ron will elaborate. We are quite positive in terms of Iduapriem's true potential. This has been a very good cash generator, as you have seen for the Group, in the last two years, and it's actually pleasantly surprised us on every monthly performance. And there are options that Ron is looking at in terms of what can be done to Iduapriem in terms of adding value. And what we prefer to do, Andrew, is articulate this more when we get into our year-end numbers when we provide 2015 outlook. So we don't want to be cherry-picking selective assets to give forward-looking information. But Ron can comment on it at the end. With regard to Sadiola, the position is relatively simple. We see potential with regard to Sadiola sulfides project. That relies upon two conditions coming through from the Mali government. The Ministry of Mines is extremely positive in terms of providing us with an agreement to give us our reliable, affordable power for that particular project, and we are working closely with the Mali government and Iamgold in that regard, and at the same time, looking at providing us with the right fiscal concessions. What we have to decide when we complete that exercise is we have also got a finite balance sheet. We can't fund all of the projects, so this is a discussion which we are having with both Iamgold and the Mali government to see if there's a way where the project can go head, where we extract value from that as one of the shareholders. So, Ron, I'm not sure whether you have anything to add on Iduapriem?
Ron Largent: No. We've just been working on a considerable amount of rescheduling and been testing some material to enhance our production profile over the next year, meaning old heap leach material, and we think we will have a changed mine plan into the future, and a changed production profile.
Srinivasan Venkatakrishnan: Excellent. And Christine will actually pick up the response in terms of your fuel sensitivity question.
Christine Ramon: Okay. So for every $10 change in the Brent crude oil price, it'll impact our cash cost by approximately $7.75.
Andrew Byrne – Barclays: Perfect. Thank you very much.
Operator: Our next question comes from [Keshab Lao] of Bam. Please go ahead.
Unidentified Speaker: Hi. How are you? Thanks for taking my questions. I just wanted to ask you guys about the Siguiri asset. There's just been a lot of stuff in the press with the Ebola breakout. I just wanted to see what you guys were doing to mitigate the risk of that affecting your operations in Guinea, what you're seeing on the ground, and if it does come into areas closer to the mine, what sort of contingency plans you may have. Thank you.
Srinivasan Venkatakrishnan: Okay. I think your line was unfortunately not very clear. If I'm hearing it right, your question was around Ebola, is it affecting…
Unidentified Speaker: I apologize. Is this more clear?
Srinivasan Venkatakrishnan: Yes, this is more clear. As we understood your question, it's around Ebola and the impact it's having on our operations, and what is our plan, if there is going to be an impact on the operations. If I can give you the short answer, Ebola is not impacting any of our operations. Siguiri in Guinea has not been affected. Neither is the Sadiola and Morila operations in Mali. So short answer to that question. In terms of number of measures which we have taken to ensure that we actually manage any potential impact, if I can reel out a few, firstly, bringing the education and awareness of everyone working at the mines, not just the employees, the contractors, also, and the service providers, in terms of precautions that they need to take. Secondly, providing all of the preventive equipment and effectively disinfectant material, providing them with the required detergents which are needed to ensure that they maintain a cleanly lifestyle is also a second part of the arsenal we use. Thirdly, in terms of the type of diet which is made in the mess and actually in the mine, it's obviously being changed to take into account that there are certain aspects which actually are carriers of Ebola, so we have actually changed that, as well. Fourthly, we are working very, very closely with all of the government establishments, both locally and internationally, in terms of ensuring that our efforts are coordinated. Any travel to and from the mine sites, either to the neighboring villages or town is very tightly controlled. Every one of our employees and contractors go to health screening checks every day, and as part of that, if we identify even the slightest issue, they are treated by health personnel who wear protective clothing. And anybody identified in the town or probably even if it's 30, 40 kilometers, actually gets the relevant quarantine treatment. And so far, we have not had any impact in any one of our operations, either in Mali or in Guinea.
Stewart Bailey: Dylan, any further questions?
Operator: There are no further questions. Do you have any closing comments?
Srinivasan Venkatakrishnan: The closing comments, again, Dylan, as we have said, we have certainly delivered a very good, strong seventh consecutive quarter in terms of delivery, where we have outperformed every metric. The ship is steady as she goes. Now the focus is on self-help measures. That's where the effort will go, and we look forward to speaking to everyone in February, when we announce our fourth quarter and year-end results. Thank you very much.
Stewart Bailey: Thanks, Dylan.
Operator: Thank you. On behalf of AngloGold Ashanti, that concludes this conference. Thank you for joining us. You may now disconnect your lines.